Operator: Good afternoon, ladies and gentlemen, and welcome to the Zynex Second Quarter 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. As a reminder, this conference is being recorded. I would now like to turn the conference over to Quinn Callanan from MZ North America. Please go ahead.
Quinn Callanan : Thank you, operator. Good afternoon, everyone. Earlier today, Zynex released financial results for the second quarter ended June 30, 2024. A copy of the press release is available on the company's website. Joining me on today's call are Thomas Sandgaard, Chairman, President and Chief Executive Officer; Dan Moorhead, Chief Financial Officer; and Donald Gregg, President of Zynex Monitoring Solutions. Before we begin, I'd like to remind you that during this conference call, the company will make projections and forward-looking statements regarding future events. We encourage you to review the company's past and future filings with the SEC, including without limitation the company's 2023 Form 10-K and subsequent Form 10-Qs, which identify the specific factors that may cause actual results or events to differ materially from those described in these forward-looking statements. These factors may include, without limitation, statements regarding product development, product potential, the regulatory environment, sales and marketing strategies, capital resources, or operating performance. With that, I'll now turn the call over to Thomas.
Thomas Sandgaard : Thank you, Quinn, and good afternoon everyone. Thank you for joining us today for the second quarter, 2024 earnings call. First, I want to say that unfortunately, our Chief Operating Officer, Anna Lucsok is traveling and couldn't be here today for the call. So I'll speak to the items around operations as well. In the second quarter, we saw continued revenue momentum up 11% from the prior year and the 9th straight quarter of record high order numbers. While we continue to produce solid revenue growth, the second quarter and the full year 2024 revenue is less than originally anticipated. The decrease in our 2024 revenue versus prior estimates is due to a few factors, all of which long-term will put us in a better position for profitable future growth. First, we continue to diversify our product revenue streams. As I mentioned in previous calls, we continue to add additional rehabilitation products to our offering, and the volume of those products as a percentage of overall device ordering continued to increase. In the first quarter, we reported our private labor rehab products made up 25% of all orders, up from the teens in 2022. We've seen this grow even more in the second quarter to a total of 28% of all orders, which turned out to decrease our revenue per order more than expected as those products generally collect less per order. We believe this diversification is important to our future growth, stability and overall valuation of the company. But the revenue and cash of these products are not as high as on our NexWave device, since they don't have the recurring supply element which is recognized over the entire treatment period for the NexWave. Positively, we can say that profitability or the gross profit margin is still right around 80% on those products. So it has not hurt our gross profit margin. Second, as we have discussed previously, we continue to scrutinize our existing sales reps and discharging reps who aren't performing to our standards. During 2024, we've been pretty aggressive on this front and have decreased our sales force, which will have an effect on near-term revenue growth. It's in our best interest to exit underperformers and add sales reps who will be more productive long-term. Lastly, at Zynex we continue to make changes to our operations. We've seen extraordinary growth from $13 million in revenue in 2016 to $184 million in 2023. Over that period, our average annual revenue growth was 47%. As we grow, we continue to refine our processes and our practices which helped us grow revenue to now around $200 million may not be optimal as we grow to $400 million and then $800 million subsequently. We are constantly tackling questions of maintaining profitable growth at scale, while maintaining a strong culture of compliance and optimizing our processes. Even with the changes, we were able to drive 20% order growth in the period compared to the second quarter in 2023 with 10% fewer reps which reaffirms our confidence in our core sales reps and their productivity. Revenue per rep on an annualized basis in the second quarter was approximately $485,000, with an increase of 26% over 2023. As our team continues to mature, we expect to drive sales efficiency higher, further reassuring you about our performance. We continue to refine our sales force to maximize productivity and related profitability. In the future, we believe sales rep productivity is a relevant KPI for accessing our pain management business. At our current scale, maintaining profitable growth is paramount and we will drive future additions to the sales team. While we retain a focus on progressing to our long-term goal of 800 sales territories with $1 million in revenue potential per territory, we recognize that our standard for all reps is high and productivity will not be sacrificed. While we are pleased to see the company continue to grow and diversify its revenue, profitability and cash flow, we recognize that this quarter's growth will not match our prior guidance. We believe this is a minor recalibration, which was necessary due to our rapid growth and this sets us up for additional growth and profitability in the coming years. We believe that with a diversified revenue stream, institutional quality policies and procedures and a lean and efficient sales team, Zynex is poised to capitalize on the long-term opportunity presented by the 800 sales territories we've discussed in the past. With all this in mind, we now expect 2024 net revenue to increase approximately 9% total, compared to 2023 to $200 million and diluted earnings per share of at least $0.20 a share. We have also reached some important milestones and see significant progress in our monitoring division. I'll now ask Don Gregg, President of Zynex Monitoring Solutions, to provide updates on that business division.
Donald Gregg : Thank you, Thomas. It's an exciting time to work in Zynex Monitoring Solutions division as we are closing on major milestones to commercialize our NICO pulse oximeter. The NICO pulse oximeter verification clinical study began this week at a leading university. It's focused on pulse oximetry and we are continuing to achieve our program milestones. To support the study and the market launch of NICO, we have now manufactured pre-production NICO devices in our facility and achieved major supply chain readiness. For those new to Zynex, Zynex Monitoring has a product pipeline of four new hospital monitoring products that we believe will be disruptive, including our CM series blood and fluid monitor, our NICO laser pulse oximeter, and the HemeOx total hemoglobin monitors. Lastly, our sepsis monitor, which builds on all of those three previous technologies to produce a first of its kind real-time, sepsis risk detection monitor. Laser pulse oximetry represents the most immediate opportunity in our monitoring division, with our planned submission to the FDA for NICO at the end of this year that enters a multibillion dollar established market. NICO's laser oximetry technology provides blood test level accuracy in a noninvasive form factor that we believe will show the market how inaccurate current noninvasive LED technology currently is and solves many of the challenges with pigmentation bias. As you may recall, the FDA clearance process for pulse oximeters consists of two phases. The first is calibration and the second is verification of that calibration. This verification study is intended to prove the efficacy of our NICO product to the previously completed calibration and is the final stage before FDA submittal and then clearance. We've also completed our first pre-production milestone to manufacture initial units with the updated NICO design, following our acquisition of Kestrel Labs. We've filed many patents in 2024 and will continue to file even more through the end of this year. Zynex originally purchased the NICO and HemeOx laser oximetry technology from Kestrel. We have made several technical and design for manufacturing enhancements to produce the current market-ready NICO product. The current FDA process is designed to verify that the changes we made are consistent with the device's original design and that the claims we make about the device capabilities are safe and effective. To ensure NICO meets the FDA's strict standards, we have performed several rounds of comprehensive bench testing to simulate Pulsatile Blood Flow similar to humans prior to the verification study. With NICO consistently performing well in our bench testing, we have been confident in the success of our verification study as it concludes in early Q4. In summary, NICO is now undergoing the final phase of manufacturing transfer, FDA clinical trials, and commercialization readiness prior to FDA submittal and clearance. We continue to close on clinical, operational and commercialization milestones to meet market demand after we achieve FDA clearance. I will now turn the call over to Dan Moorhead, Chief Financial Officer, for a more in-depth look at the quarter's financial performance.
Dan Moorhead : Thanks Don. Please refer to our press release issued earlier today for a summary of our financial results for the second quarter, 2024. After commenting on our financial results, Thomas will review our guidance for 2024. In the second quarter, orders increased 20% year-over-year to the highest number of orders in the company's history for the 9th consecutive quarter. Net revenue was $49.9 million compared to $45 million in the second quarter of 2023. Device revenue was $15.9 million compared to $13.7 million in the second quarter of last year. Supplies revenue was $34 million, up from $31.2 million in the second quarter of last year. Gross profit in the second quarter was $39.9 million or 80% of revenue, as compared to $35.7 million or 79% of revenue in 2023. Sales and marketing expenses were $23.2 million in the second quarter of 2024, compared to $21.6 million in the same period in 2023. G&A expenses were $14.5 million in the second quarter of 2024, compared to $11.4 million last year. Net income was $1.2 million and produced $0.04 per diluted share in the second quarter of 2024, compared to net income of $3.4 million or $0.09 per diluted share in 2023. Adjusted EBITDA for the three months ended June 30, 2024, was $3.5 million, compared to $4 million in the same quarter last year. We ended the second quarter with $30.9 million of cash and cash equivalents on the balance sheet, and working capital of $55.9 million. Cash flows from operations in the six months ended June 30, 2024 increased 20% year-over-year to $3.2 million. In the second quarter, we continued our stock buyback and repurchased $2.2 million of common stock, and over the last 24 months, we've purchased $70 million. We continue to balance deploying cash generated between investing in our business and returning cash to shareholders. We believe both offer attractive return profiles. The continuing buyback reflects our belief in the management team, the growth opportunities for both divisions, and that we remain committed to creating shareholder value in the near and long term. Before turning the call back to Thomas, I wanted to point out a couple of items. ZMI, or our Pain Management Division, on a standalone basis, year-to-date through June 30, operating income is up 10%, and for the full year we are forecasting it to grow closer to 20%. So excluding our increased investment in ZMS, profitability is progressing in pain management, even with the lower number of reps and the product mix changes. Our prior year financials had $3.1 million in income related to derivative gains in the P&L, which are inflating prior year profitability a bit, so when comparing year-over-year data, it's important to consider that. Also, I just wanted to reiterate, cash from operations on a consolidated basis is up 20% during the first half of 2024 compared to 2023. With that, I'll now turn it back to Thomas.
Thomas Sandgaard : Thank you, Dan. We've had a strong start to the third quarter, and with continued growth in orders and revenue recognition in the third quarter of 2024, we expect total revenue of $50 million, which is slightly above revenue in the third quarter of 2023, and we expect to see diluted earnings per share of $0.05. As for our 2024 outlook, we expect total revenue to be approximately $200 million, representing growth of approximately 9% over 2023, and diluted earnings per share of approximately $0.20. We are very proud of the growth that we have consistently demonstrated over the past several years. Top line revenue has produced high level of profitability and free cash flow, which has allowed us to expand our sales force, launch a new business line to diversify our revenue streams, and continue repurchasing our shares. The business we have created and the profitability we're able to generate allows us a high degree of flexibility to allocate capital in several ways. We have the ability to continue investing in our business and return cash to shareholders simultaneously. We believe both these avenues will produce substantial shareholder value. And with that, operator, please open the call up for questions.
Operator: Thank you. [Operator Instructions]. Your first question is from Shagun Singh from RBC. Please ask your question.
Unidentified Analyst: Hi, this is Avi [ph] on for Shagun. Thanks for taking my question. So first, talking about order growth, you guys mentioned you have 20% year-over-year order growth with your rehabilitation products making up 28% of total orders versus 25% in Q1. Can you comment on the order growth specifically to your flagship product of NexWave? I'm just trying to make sense of the large guidance reduction, while your order growth seems to keep breaking records every quarter.
Thomas Sandgaard : Yeah, the growth on the NexWave device still continues. It's just growing faster on the other products. It's not like a declining order growth on the NexWave.
Unidentified Analyst: Okay, got it. How should we think about the cadence second half in terms of operating expenses and just any P&L color you can give would be really helpful?
Thomas Sandgaard : Yeah, we obviously gave guidance on the – updated guidance on the revenue. We might see a slight increase in other products as part of that mix, but that's now reflected in the updated revenue guidance. We're probably – we’re here [ph] for not too long, obtain a balance that is not going to tilt everything. So we expect that to be fairly consistent going forward. On the expense items, we obviously will see the level as a percent of revenue on G&A probably remain fairly constant. Dan might be able to talk more to that. We should, as a percentage of revenue, we should see over the next several quarters, our sales and marketing expenses decrease as a percentage of revenue and thus return more to the bottom line and give us a decent earnings per share long term.
Dan Moorhead : Yeah, I think, [Cross Talk] color. I think on the G&A side you will see – it's going to stay a little flattish from a percent of revenue. It'll go up slightly. Just remember we had some pretty significant ZMS expenses in the second half as we do the clinical studies and other things to get ready for FDA submission in Q4. But as Thomas mentioned, on the sales side, I think you'll see some decreases in that run rate. When we lower the number of reps, you see a little bit in the quarter it happens, and you get more in the following quarters. So I think those are going to drop. Q2 was about 47%. It'll probably be in the lower 40%’s, maybe 42%, 43% in Q3 and then drop closer to 40% percent in Q4.
Unidentified Analyst : That's super helpful. Thank you. Is there any update on the strategic alternatives front? That's my last question. Thank you.
Thomas Sandgaard : Nothing material that we should announce at this point in time. It's still progressing, which would be considered positive, but there's nothing material that we can disclose at this point.
Operator: Thank you. Your next question is from Jeffrey Cohen from Ladenburg Thalmann. Please ask your question.
Jeffrey Cohen : Good afternoon. Thanks for taking our questions. Just a couple from our end. I guess firstly, I may have missed it. The number of commercial folks now in the base business and how they might look for the back half of the year.
Thomas Sandgaard : We are sitting just below 400 right now. I think we entered Q2 with about 450, so we've had a reduction there. We still continue to hire reps, while we pruned the existing sales force. Long term, we're going to see a significant improvement in terms of sales rep productivity as a result of that. Throughout the rest of the year, we'll continue to hire, but we'll have some attrition still. So conservatively, let's just say it's going to remain flat. We expect to continue to grow, if not at the end of Q4, then early next year. We're still shooting to fill up all the 800 territories we have mapped out.
Jeffrey Cohen : Okay, got it. I know it's a bit early, but any commentary specific to NICO as far as ‘25 and any commercial launch, whether it be on your efforts or others?
Donald Gregg : Yeah, so on the NICO front, it's a 2025 revenue play. We are expecting to submit to FDA in Q4. We're expecting a round of additional information requests from them, and so clearance would be potentially late Q1, possibly Q2, and we would be cleared to commercialize at that point. We've been working on pipeline of KOLs. We've been working very closely with investigator-initiated research plans for follow-on clinical studies for additional claims in 2025, and the back half of 2025 is when we would expect potential revenue from NICO.
Jeffrey Cohen : Okay, but the commercial efforts at this point in time will be your undertaking as far as we know.
Donald Gregg : So, we've been working on a few fronts, both an indirect and a direct sales force. The target market for this is hospitals and a few other sites in addition to that. I've also been working on plans for strategic partnerships, which I could probably provide some more color on that later in Q4, Q1 of 2025.
Jeffrey Cohen : Okay, so I’ll stay tuned.
Donald Gregg : Stay tuned.
Jeffrey Cohen : Okay, perfect. And then I think we got the guidance and we got the Q4. Any seasonality to speak of or any big picture macroeconomic trends to speak of from Q2 for the back half of the year that we should be aware of?
Thomas Sandgaard : The industry we are in, I'm speaking to the Pain Management business, is still the same as it has been for many decades. We don't see any price pressure as such. It is still just the same case-by-case and day-by-day battle, by prescription on making sure we get paid with the 3,000 insurance companies that we are working with. The prescription patterns from the prescribing physicians are the same as it has pretty much always been, and again, our sales force is becoming more productive. In terms of seasonality, it's the usual on the order side. We see the prescribers typically go on vacation in January, to some degree February. So we always have lower orders there. But again, we compare year-over-year, so we'll go see decent percentage growth regardless of that. We see a little bit summer vacation too and obviously Thanksgiving and Christmas is a little weaker order wise. But else, that's the same seasonality as we have always seen. We see more or less the same seasonality in terms of cash collections. So we always tend to be very conservative in terms of how we report revenue in the first quarter and then it accelerates throughout the year, mainly driven by the deductibles that the commercial insurances impose on patients. So the prescribers have the ability to go on vacation during that period and let other providers like us take the hit for the deductibles, while a lot of our revenue is recurring. So if we get a prescription in November, we'll still be billing for it typically in January, February, March, etc., and incur less cash collections right there as a result of the deductibles. So, that is the same seasonality that we have seen for many decades.
Jeffrey Cohen : Okay, got it. That’s all from us. Thanks for taking our questions.
Operator: Thank you. Your next question is from Yi Chen from H.C. Wainwright. Please ask your question.
Thomas Sandgaard : Are you there, Yi?
Operator: Hello, Yi Chen. Your line is now open. Please ask your question.
Yi Chen : Hello! Hi, thank you for taking my question. Could you give us an update on blood volume monitor and whether it could potentially generate any revenue in 2025? Thank you.
Donald Gregg : Hi, Yi Chen. It's Don Gregg. We have been working on this. As you know, I think our strategy is we've achieved FDA clearance on the CM-1600. We're working on the next version of that device to be a full blood and fluid monitor to specifically perform on fluid responsiveness to the human body. This is not a revenue play specifically for 2024 or 2025 at this point. Our focus for revenue is on the NICO product. At this point, it is the most mature in our product line, and NICO is part of a $2.5 billion market, that's a highly established market.
Yi Chen : Got it. Thank you.
Donald Gregg : You're welcome.
Operator: There are no further questions at this time. Please proceed.
Thomas Sandgaard : Yes. Thank you for joining us today. We're pleased with our performance this quarter and the consistent growth our team is delivering. We look forward to leveraging that momentum throughout the rest of the year and speaking to you at upcoming investor events. We appreciate your time and interest in Zynex. Have a great day!
Operator: Thank you. Ladies and gentlemen, the conference has now ended. Thank you all for joining. You may all disconnect your lines.